Operator: Ladies and gentlemen, thank you for standing by and welcome to the Fourth Quarter 2020 South Jersey Industries Earnings Conference Call. [Operator Instructions] I would like to hand the conference over to Dan Fidell, Vice President, Investor Relations. Please go ahead.
Dan Fidell: Thank you. Good morning, everyone and welcome to SJI’s fourth quarter 2020 earnings conference call and webcast. I am joined today by Mike Renna, our President and Chief Executive Officer; Steve Cocchi, our Chief Financial Officer as well as additional members of our senior management team. Our earnings release and the presentation slides that accompany the call were issued yesterday after the close of the market and are also available on our website at www.sjindustries.com. The release and the associated 10-K provide an in-depth review of earnings on both the GAAP and non-GAAP basis using our non-GAAP measure of economic earnings. Reconciliations of economic earnings to the comparable GAAP measures appear in both documents. Throughout today’s call, we will be making references to future expectations, plans and opportunities for SJI. Actual results could differ materially from those projected in any forward-looking statements. For a discussion of factors that could cause actual results to differ, please refer to our SEC filings. With that said, I am pleased to introduce our CEO, Mike Renna, who will review our 2020 operational performance and strategic priorities as we begin 2021. Our CFO, Steve Cocchi, will then review our 2020 financial performance. Mike will then offer some closing remarks. After that, we will be happy to take your questions. With that introduction, let me now turn it over to Mike.
Mike Renna: Thanks, Dan and good morning everyone. Thank you for joining us today. And as always, I hope you and your families are staying safe and well. I am pleased to report a $60 million increase in economic earnings and a 50% year-over-year improvement in economic earnings per share. 2020 saw us meet or exceed all key strategic and operational metrics despite unprecedented challenges, and we delivered on our mission, providing safe, reliable and affordable natural gas to more than 700,000 customers across New Jersey. We were there at a time when our customers and communities needed us the most. 2020 also saw us deliver on key strategic priorities driving our long-term growth. We reached a favorable resolution of South Jersey Gas Company’s base rate case, a reflection of our prudent investment and strong regulatory relationships, achieved our targeted clean energy Investment goals demonstrating alignment and commitment to state and regional decarbonization efforts, proactively strengthened our balance sheet, ensuring we had sufficient liquidity to address the unknowns of COVID and funding of our capital plans, and proposed important regulatory initiatives in support safety, reliability, energy efficiency, decarbonization and job creation. Consistent with our goals, our utilities, South Jersey Gas and Elizabethtown Gas represent the majority of earnings in 2020. Margins increased significantly, reflecting above-average customer growth, positive base rate case outcomes, critical infrastructure modernization programs in trackers and effective O&M management. Natural gas remains in strong demand across our territories and across New Jersey, with more than 12,000 new customers adding service in the last 12 months alone. While we are seeing new construction across the state, the bulk of our customer growth continues to come from conversions, with roughly 2/3 converting from alternative fuels such as heating oil and propane to cleaner burning and lower cost natural gas. Regulatory relationships remain constructive and strong, resulting in amicable settlements in record time with desired results at both our utilities. Infrastructure modernization programs critical to assure a safe and reliable service to our customers have the added benefit of significantly reducing methane emissions. Over the last 12 months, we’ve invested more than $135 million to replace aging cast iron and bare steel mains across our system. And on October 1, 2020, we adjusted rates at both our utilities to begin recovering these important investments. Our non-utility operations also experienced significant improvement in 2020 due primarily to new clean energy investments and rightsizing and repositioning of our legacy business. Specifically, our wholesale businesses delivered solid year-over-year improvement, driven by strong performance in our fuel management activities, the roll-off of legacy contracts, a reshaped portfolio and asset optimization opportunities. Our energy services business delivered on our commitment to align and advance the clean energy goals of our state and region. Our fuel cell investments are expected to produce 7.5 megawatts of low-carbon electric generation in Staten Island and along with four small-scale solar investments, delivered $0.21 per share of investment tax credits in 2020. As we begin 2021, our priorities are focused on executing on our commitment to clean energy and decarbonization and achieving resolution in our pending regulatory initiatives. With regard to decarbonization, as you saw from our earnings release, we are excited to announce our equity investment in REV LNG, a company specializing in the development, production and transportation of renewable natural gas, liquefied natural gas and compressed natural gas, along with the development rights to a portfolio of anaerobic digester projects to produce RNG. Over the last few years, REV has become one of the country’s leading developers of dairy RNG projects through capturing, cleaning and converting biomethane to RNG. RNG recovered from dairy farms has a negative carbon intensity rating, meaning it takes more carbon out of the environment than it produces and is less carbon-intensive than conventional natural gas. These investments, along with our planned investments in RNG that will directly serve our utilities will accelerate SJI’s path toward decarbonization. This strategic investment is adjacent to our core utility business. It supports our commitment to decarbonization and to delivering the clean energy of the future. It positions SJI at the front of an emerging energy market with significant growth and upside. And with unlevered returns in the teens, strong growth in the core transportation vertical and the potential afforded through dairy farm development. This investment will be accretive to earnings and credit metric positive. As you know, we currently have several important proposals pending before the BPU with resolution expected before the end of the second quarter. We have requested $267 million in energy efficiency investments at our utilities over the next 3 years as well as a decoupling mechanism for Elizabethtown Gas, similar to the one we have in place at South Jersey Gas. We have also requested $742 million in Phase 3 infrastructure modernization investment at South Jersey Gas, targeting coated steel and vintage Aldyl-A plastic pipe. Both programs support the Murphy administration’s goals surrounding safety and reliability, energy efficiency, decarbonization and job creation. At this time, I will now turn it over to Steve to review our 2020 financial performance, after which, I look forward to offering some closing remarks. Steve?
Steve Cocchi: Thanks Mike. Good morning, everyone. As Mike noted, despite the continuing pandemic, our business performed very well in 2020, and we expect no material financial impact from the pandemic. As Dan noted earlier, both the earnings release and the slide deck we’ve made available will provide you with detailed information regarding GAAP earnings, and I would encourage you to review that information. For the purposes of this call, as we normally do, we’ll focus our discussion on our non-GAAP measure of economic earnings as management believes that this measure provides valuable insight into the performance of our business. For 2020, economic earnings were $1.68 per diluted share compared with $1.12 per diluted share for the comparable period a year ago. 2020 results exceeded our previously communicated expectations for economic earnings to be at the upper end of $1.50 to $1.60 per diluted share, driven by a combination of improved utility and non-utility performance, as well as several positive but nonrecurring items that totaled $0.13 per share. These items included certain tax adjustments, SJG rate design adjustments and pipeline supplier refunds. Our utilities contributed 2020 earnings of $1.62 per diluted share compared to $1.33 per diluted share in 2019. Improved results primarily reflect rate relief at both South Jersey Gas and Elizabethtown Gas, positive customer growth and base rate roll-ins related to infrastructure modernization programs. Our non-utility operations contributed 2020 earnings of $0.47 per share compared to $0.15 per share in 2019. Improved results were driven by increased profitability at both Energy Group and Energy Services. Energy Group contributed 2020 earnings of $0.24 per diluted share compared to $0.10 per diluted share in 2019, primarily reflecting fuel management contracts that became operational over the last 12 months, higher volumes and improved asset optimization opportunities resulting from efforts to reshape our portfolio over the past year. Energy services contributed 2020 earnings of $0.19 per share compared to breakeven results in 2019, primarily reflecting the recognition of investment tax credits related to fuel cell and solar acquisitions that have commenced operations during the year. Our other segment contributed a loss in economic earnings of $0.42 per share compared to a loss of $0.36 per share in 2019, reflecting an increase in outstanding debt, partially offset by debt repayments and refinancing activity. For our fourth quarter 2020, economic earnings were $0.62 per diluted share compared with $0.47 per diluted share for the comparable period a year ago, reflecting improved utility and non-utility profitability. Improved utility results largely reflect SJG based rate relief, which became effective on October 1 as well as strong customer growth and the roll in of infrastructure modernization programs at both SJG and ETG. Improved non-utility results largely reflect the recognition of investment tax credits related to our fuel cell and solar acquisitions that commenced operations during the year as well as improved asset optimization at our wholesale business. Our capital expenditures in 2020 were approximately $600 million, with approximately 80% of this amount reflecting investments for utility infrastructure upgrades, system maintenance and customer growth and approximately 20%, reflecting clean energy investments. As Mike discussed, we are pleased to announce our investment in REV LNG today and we expect this important decarbonization focused investment to be accretive to our cash flow and economic earnings and support continued long-term improvement in our credit metrics. A fact sheet regarding our investment in REV is available on the Investor Relations section of our website at www.sjindustries.com. Turning now to our balance sheet, we remain committed to a capital structure that supports our regulated driven capital spending plan while maintaining a balanced equity to total capitalization, ample liquidity and a solid investment-grade credit rating. GAAP equity to total capitalization improved to 32.2% at December 31, 2020, compared with 29.6% at December 31, 2019, reflecting debt and equity financing and repayment of debt using proceeds from asset sales. Our non-GAAP equity to total cap which adjusts for mandatory convertible units and other long-term duration debt, improved to 39.7% at December 31, 2020, compared with 37.5% at December 31, 2019. Earlier this month, Moody’s affirmed South Jersey Gas’ A3 rating and raised its outlook to stable from negative, citing among many factors, SJG positive rate case resolution in 2020, and steady improvement in financial metrics. We completed multiple steps in 2020 to strengthen liquidity, eliminate near-term debt maturities and ensure the ongoing funding of our capital program. With approximately $450 million of available borrowing capacity as of December 31, 2020, we remain confident in our ability to manage through the impacts of COVID. With regard to guidance, SJI’s recent investment in REVENUE, as well as several pending regulatory proposals for expanded accelerated infrastructure modernization and energy efficiency programs, are expected to positively impact our financial metrics and advance our decarbonization goals. We are currently incorporating these investments and initiatives into our plans and look forward to sharing our vision for the future with you in conjunction with the planned Virtual Investor Day in May. Details regarding participation in the meeting are expected to be provided in April. That concludes my remarks. And I will now turn it back over to Mike.
Mike Renna: Thanks, Steve. The successful execution of our priorities, combined with the fifth consecutive quarter of solid improvement in our financial results shows that our business transformation efforts over the past few years is paying off. At the same time, our strategic investments in clean energy demonstrate continued alignment with the goals of our state and region, are highly complementary to our core gas utility business, and have set the table for new and growing stream of positive cash flows for SJI. As we conclude, let me remind you that above all else, SJI remains committed to the safety of our employees, our families and our communities. We continue to function very effectively from a largely remote platform and we’ll continue to make decisions informed by directives from our leaders and health experts. We, along with all of you, are optimistic for a successful vaccine rollout in the months ahead and a return to a more normal functioning of life and work. In this regard, we remain a proud New Jersey company and a partner with our state. And we stand ready to support our state’s vital economic recovery efforts. We shovel-ready jobs to get folks back to work. Let me conclude my remarks by saying how proud I am to be a part of the SJI family from how we came together in the face of the pandemic to how folks have embraced the future, the future where our infrastructure will deliver the clean energy critical to combating climate change. Operator, that concludes our prepared remarks and we are now ready to open the line for questions.
Operator: [Operator Instructions] Our first question comes from Richard Sunderland with JPMorgan. Your line is open.
Richard Sunderland: Hi, thanks for taking my questions today. Just wanted to start on sort of the 2021 outlook, in consideration of, I guess, forthcoming guidance here. Could you speak to some of the moving pieces year-over-year, I guess those pending regulatory proceedings and the REV LNG investment in anyway to frame the order of magnitude kind of contribution from those items, just to get a sense of the growth in the ‘21 here?
Mike Renna: Hi, Rich, I am sorry. It’s Mike. I think as we said in our release and in our prepared remarks, there are several moving pieces, which we would expect to have greater resolution on as we work our way through the first quarter in the early part of the second quarter. And we wanted to make sure that when we had our Investor Day and put out guidance, which would be for not only 2021, but certainly, we would give an indication of what we expected our growth to be over a 3 to 5-year planning horizon. We wanted to wait for resolution of – or at least strong indications around some of those moving pieces. So you mentioned them. Certainly, we have some pretty significant proceedings in front of our regulators right now. We have our infrastructure replacement program accelerated infrastructure replacement program at South Jersey Gas focused on kind of the next-generation of vintage pipe, which would be coated steel and Aldyl-A plastic, very large and ambitious program. But again, at the end of that, we will have one of the most modern, if not, the most modern systems in our region. So something that’s really critical to advancing the state’s safety, reliability and also environmental goals. We’ve got an energy efficiency proposal in front of them. Again, we would expect to have better insight into those and then be able to provide investors with a better sense of how they will impact both our earnings and our credit metrics going forward. And then as far as REV goes there is a lot there, and we felt it better to take the time to walk investors through just what a unique and exciting opportunity this is for us. And again, how we envision the kind of – the build-out of that opportunity both in its existing business, which is largely a services business in and around gas assets so RNG development, LNG and CNG, but more specifically around what we think is a critical strategic imperative for SJI, which is decarbonization, kind of the focus and the cadence of development of dairy farm. So I don’t know that I directly answered your question, but I am trying to give you as much as I can without basically doing the Investor Day on this call.
Richard Sunderland: Got it. Thanks Mike. Appreciate the color. And maybe one more on this front, but with the risk of front running the Investor Day, just I am curious if you could kind of frame the 2020 clean energy and decarbonization investments from a CapEx or dollars invested perspective versus your ultimate aspirations in terms of growth there? And then just as well as any kind of ITC targets you are looking at for 2021?
Mike Renna: Great question. And I want to just take a second and kind of go back to our decision to reenter the clean energy development space, which we announced a year ago at this time, right? So we had said that look, given where sentiment was going, particularly in New Jersey, but really the region, and now I think it’s a nationwide thing towards decarbonization and clean energy, we felt it extremely prudent for SJI to participate and to demonstrate our commitment to the decarbonization and clean energy and our alignment with the state and Governor Murphy’s Energy Master Plan. And we are committed to playing a key role in that. So we put out a number of I think it was roughly $150 million was kind of our target investment over a 3-year period. And we were relatively agnostic in terms of what type of clean energy investment that would be. We wanted to provide strong unlevered returns. We wanted it to certainly demonstrate, again, alignment to the goals of the state and the region. But clearly, at the beginning, we thought we would most likely involve some solar. And it did ultimately, but they were four rather small projects and we are certainly going to do everything we can to green own facilities and our own buildings. And as we said earlier, too, we think it’s a great solution to – as a replacement at our now shuddered landfill to electric projects, but the fuel cell became a great opportunity for us in 2020. We consider – it’s clean, low carbon electricity. It uses natural gas as its fuel source. So we were really excited about that. Thought it was a great fit, would certainly be open to doing additional fuel cell projects in the future. But again, 1 of the things we really liked about the 1 that we did was that it was part of the New York VDER program, which effectively fixes 75% to 80% of the revenue. So we’ve seen – not only is it a great investment from an energy, clean energy perspective, but we’ve – it’s a highly de-risked. So again, I think that there is – we will always be open to those type of investments. The investment in REV is very different. There is no ITC at this point in time for RNG projects. But it does accomplish something that is really critical for us and I think, for the future of our industry, and that is it helps to decarbonize the energy flowing through our infrastructure. And that, from the very get-go has been our primary goal and we are just really excited about the opportunity to partner with REV. And as we said, be at the forefront of kind of the clean energy decarbonization movement. And as far as ITC and investments go, I think we’re – we’ve not changed our plan, that kind of $150 million, $175 million over a 3-year period, is still our plan. Those would be where you would see ITC type of investments. And our investments in REV will be done with the same critical lens we do every other investment, which is unlevered returns, credit positive and again, in a highly derisked kind of structure.
Richard Sunderland: Great, thanks. I appreciate the color there.
Mike Renna: Thanks, Rich.
Operator: Our next question comes from Gabe Moreen with Mizuho. Your line is open.
Gabe Moreen: Hey, good morning everyone. Maybe I can just start with wholesale a little bit here. Clearly had a great fourth quarter. I was going to ask twofold on this. One is just given all the events over the last couple of weeks, and the volatility, if you can speak to how that portfolio has been performing in the first quarter or what the impacts have been directionally? And then second of all, one of your peers, I guess, entered into a long-term contract for some of the capacity that they have with their marketing business. I was wondering if that’s something that you’re potentially contemplating as well?
Mike Renna: Sure. I get – I’ll take this again. It’s Mike, Gabe. So how is our portfolio performing in the first quarter? Yes. I mean, certainly, there was – there have been some rather unusual and historic weather events in the last few weeks, particularly kind of in the Mid-Continent. It has not necessarily affected the Northeast to the extent it did, again, to the plains. Our – we did see some volatility. I think we had prices in the market area in the $7 or $8 range, so some nice spreads, but Gabe, if you remember, several years ago, we reshaped our portfolio and really tried to kind of minimize the volatility in the portfolio. So it wasn’t necessarily a different strategy for us in terms of – because we were always pretty much fully hedged heading into any winter. We believe a little bit open, but that was just to meet demand and volumes, swings in volumes. But just given some of the pipeline restrictions that happened over the years and some of the changes that they had in the way that you could use secondary or park and loan your gas and some of the other things that led to some real opportunities to optimize your assets in the past that were really no longer there. The head of that business, Jason Foulds did a great job of reshaping our portfolio. And again, I think, minimizing any type of downside. But in doing that, the trade-off is you also minimize some of the upside. So we like where we are right now because I think it’s far more predictable than it was maybe a few years ago. I expect us to have a good first quarter. And I expect us to be right around where we projected. As far as – okay. Remind me your second question, I’m sorry.
Gabe Moreen: Just in terms of one of your peers basically taking some of the capacity in that business?
Mike Renna: Yes. It’s a couple of things, right? I mean I understand what they were looking to accomplish, and I give them credit for going out and getting it done. But I think it – a lot of it depends on what kind of – where your assets are located and what type of value a potential acquirer would place on them. Our – I think our portfolio right now with where it is, as I mentioned, we’ve taken a lot of the volatility out of it through our own internal actions. And so I expect it to be a very steady and solid contributor to SJI. So I think – and again, I don’t want to speak for Steve or NJR or anything like that. But I guess is that this was a way for them to kind of accomplish the same thing, which will take a lot of the volatility out of the earnings through this AMA.
Gabe Moreen: Thanks Mike. And then maybe if I could follow-up with a twofold question on the utility, one is just kind of the latest on any COVID regulatory assets you’ve got and what the latest is on the potential recovery there? And then also, I think in the release and presentation, you mentioned alternatives to the LNG project, and you can save it for the Analyst Day, but just kind of curious what those alternatives would be and CapEx size-wise, how those might compare?
Mike Renna: Sure, Gabe. I’m going to ask Dave Robbins, President of our Utilities, to take this one.
Dave Robbins: Sure. Good morning, Gabe. So as far as COVID, I think we in our release, we talked about the amount of assets that have been deferred under approved program by the BPU. The way that, that’s going to work is that 60 days after the Governor lifts his executive order, there will be discussions on the filing and the recovery of those costs. So we – in accordance with that, we have deferred these costs as a regulatory asset. The bulk of the number that you see is incremental bad debt, which we certainly, as along with all the other utilities, have incurred, but we’ve placed it on the balance sheet as a deferred asset. And again, we’ll work with the BPU along with the other utilities, once the executive order is lifted because right now, it’s kind of premature to think about the time period of that recovery. I don’t think that’s been addressed yet as there are other priorities to deal with right now. So again, we expect to get full recovery. The mechanism and length of that is still kind of TBD. And then I think your other question, Gabe, was the status of our LNG project that we discussed. And as you all know, we filed for that a little over 14 months ago. It certainly was slow in moving through the approval process, the discovery process. We are encouraged. There has been some recent movement and I will say anecdotally, the need for redundancy. And I think we talked earlier about the severe weather impacts on the Southern plains. I think what that’s done is kind of sensitized us to the importance of building redundancy into our system. And as we shared, this is a key redundancy project. So just a little bit on where we are. The discovery is complete on our filing by BPU staff. Last week, we completed the public hearing, and we are awaiting some comments from rate council but I expect that we’ll have a resolution on this in the upcoming months. I don’t have a definitive date, but there has been some progress recently on our filing. And we think this is a real critical project for us going back to the critical need for redundancy.
Gabe Moreen: Understood. Thank you very much.
Dave Robbins: Sure.
Operator: [Operator Instructions] Our next question comes from Chris Ellinghaus with Siebert Williams. Your line is open.
Chris Ellinghaus: Hey, guys. How are you?
Mike Renna: Hi, Chris.
Chris Ellinghaus: Mike, not to front run your meeting, but would – the REV – they currently are earnings positive so that you’re accretive before making additional investments, is that fair?
Mike Renna: Yes, yes. Their core business that we acquired in equity interest is – will be accretive – our percentage will be accretive there, yes.
Chris Ellinghaus: Okay. Can you – would it be fair to say that the digesters are of material scale capital wise?
Mike Renna: Chris, it’s interesting. They are – on an individual basis, they are in the $10 million to $15 million range. So a lot of it’s just going to depend on ultimately, our kind of development horizon. But there are certainly economies and efficiencies that are gained by where they are geographically located. So you tend to think of them as pods. So you may do 4 or 5 in a specific geographic region. And then all of that RNG is then compressed and transported and connected to a specific LDC or interstate pipeline. So we are working through right now with our partners at REV development schedule and a time frame and looking at different off-take type of agreements. What I can say, Chris, is that we’ve always hung our hat on our investments being particularly in the last few years being of high-quality and utility like, and that’s how we’re approaching the development of the dairy farms and the digesters. And I think it’s probably a really good way of thinking about it going forward. We’ll certainly look to de-risk as much as possible.
Chris Ellinghaus: Okay. And they do like transport services for third parties and stuff as well?
Mike Renna: They do. They actually – they have designed and developed LNG bunkering for the maritime industry, they provide LNG and so kind of virtual pipeline services for utilities. They do a lot of compressed natural gas as well, again, helping utilities meet their peak day supplies. And then they are now – they are kind of fastest-growing segment, is their RNG vertical. They currently actually are – have development agreements with two other utilities where they are developing or we, I guess, I should say, we’re developing anaerobic digesters at dairy farms for, again, two large utilities under a fee-based structure that includes a long-term contracted trucking contract as well. So it’s a really exciting opportunity for us.
Chris Ellinghaus: Okay. Yes, it sounds interesting. Does this – is this going to be your primary sort of clean decarbonization natural gas investment or do you have some aspirations for things like hydrogen investments as well?
Mike Renna: That’s another great question. I’m sure you saw our announcement of the partnership with Atlantic Shores to do a pilot hydrogen program – project there in New Jersey. So I think, Chris, I think, our place in the future in the energy future is decarbonization. It felt for a long time like electrification was kind of the only pathway forward. And I think now, when you look at our infrastructure, and the hardened nature of our infrastructure. You just see what’s happening when you had these periods of extreme cold. You need our infrastructure and you need our energy to be able to get through those periods of time. And I think that it’s incumbent on us utilities to find ways to decarbonize and that’s where our focus is. So I think what you’ll see is investment through our – through REV. And I think you’ll see a lot of investment over the years in our utilities in bringing RNG on behind our city gates. So it really will be on a parallel path.
Chris Ellinghaus: Okay. One last thing, in addition to the storage docket, have you seen any momentum in terms of jobs initiatives for this year?
Mike Renna: You know what I’ll ask either Steve or Dave to grab this one, either one.
Dave Robbins: Good morning, Chris. Certainly, I think the front office initially in conjunction with the BPU, started to talk about a stimulus program to create jobs to help get the economy back on track. I think those discussions have really been sidetracked as they dealt with COVID directly. So we have – we submitted, along with the other utilities, a list of projects where we could accelerate some investments really in the name of, first and foremost, for job creation. We have not really heard back on that. All the information, the data was provided. So I think that’s kind of sitting there and very well be addressed in the near future. But I think that’s one of the reasons why you saw the SJG filing was upsized. Certainly, we look to continue to make those kind of investments they have been supported by our regulators. But the main driver, I think, this time for the upsize is job creation. So while it wasn’t under a formal stimulus program. That’s the big driver on why we upsize that filing.
Chris Ellinghaus: Okay, great, thanks a lot. I appreciate the color.
Operator: There are no further questions. I’d like to turn the call back over to Dan Fidell, Vice President of Investor Relations, for closing remarks.
Dan Fidell: Okay. Thank you, Michelle. I want to thank everyone for joining us today. As a reminder, a recording of our call today will be available on our website. And as always, please feel free to contact me, Dan Fidell, for any follow-up questions. Again, thanks for joining us today and for your continued interest and investment in SJI. This concludes our call. Thanks.
Operator: Ladies and gentlemen, this does conclude the program and you may now disconnect. Everyone have a great day.